Operator: Good morning, ladies and gentlemen. Welcome to Central Puerto's First Quarter of 2025 Earnings Conference Call. A slide presentation is accompanying today's webcast, and will also be available on the Investors section of the company's website, www.centralpuerto.com/en/investors. All participants will be in a listen-only mode during the presentation. After that there will be an opportunity for you to ask questions. Please note, this event is being recorded. If you do not have a copy of the press release, please refer to the Investor Relations Support section on the company's corporate website at www.centralpuerto.com. In addition, a replay of today's call will be available in upcoming days, by accessing the webcast link at the same section of the Central Puerto's website. Before we proceed, please be aware that all financial figures were prepared in accordance with IFRS and were converted from Argentine pesos to U.S. dollars for comparison purposes only. The exchange rate used to convert Argentine pesos to U.S. dollars was the reference exchange rate reported by the Central Bank for US dollars for the end of each period. The information presented in U.S. dollars is for the convenience of the reader only and you should not consider these translations to be representations that the Argentine pesos amount actually represents this US dollars amount or could be converted into US dollars at the rate indicated. Finally, it is worth noting that the financial statements for the first quarter ended on March 31, 2025, include the effects of the inflation adjustment. Also, please take into consideration that certain statements made by the company during this conference call and answer to your questions may include forward-looking statements, which are subject to risks and uncertainties that could cause actual results to be materially different from the expectations contemplated by industry remarks. Thus, we refer you to the forward-looking statement sections of our earnings release and recent filings with the SEC. Central Puerto assumes no obligation to update forward-looking statements except as required under applicable securities laws. To follow the discussion better, please download the webcast presentation available on the company's website. Please be aware that some of the numbers mentioned during the call may be rounded to simplify the discussion. On the call today from Central Puerto is Fernando Bonnet; Chief Executive Officer, Enrique Terraneo, Chief Financial Officer, and Alejandro Diaz Lopez, Head of Corporate Finance and Investor Relations Officer. And now, I will turn the call over to Alejandro Diaz Lopez. Please Alejandro, you may begin.
Alejandro Diaz Lopez: Thank you very much, and good morning everybody. Thank you for joining us today on a new session of earnings presentation, where we are going to discuss our financial results for the first quarter of 2025. As usually, I will begin the presentation by addressing shortly the main figures of the quarter, followed by a quick update of the regulatory framework, and relevant news. Then I will show an overview of the Argentine electricity industry, moving afterwards to our operational and financial results. Finally, at the end of the presentation, we will be happy to address any question you may have. Before going into a more exhaustive analysis of our financial and operational results, let me briefly review Central Puerto's main figures for the first quarter of 2025. The Group's installed capacity remains at 6,703 megawatts and energy generation amounted to 5.7 terawatt hour, during the first quarter of 2025, increasing 4% year-over-year. Regarding our financial results, it should be noted that due to Central Puerto's accounting methodology, all items in pesos must be adjusted for inflation to the end of the quarter, local currency. While the company reports it results in dollars by converting them at the end of the period official exchange rate, I mean the so called Central Bank a 3,500 exchange rate. This causes a non-cash impact that affects positively or negatively as appropriate our financial metrics, and affects the comparability. Revenues for the first quarter of 2025, amounted to $196 million increasing 31% year-over-year, compared to the first quarter of 2024, while adjusted EBITDA rose 8% year-over-year for the first quarter of 2025 to $90 million. Net income for the first three months of 2025, was positive in $80 million rising 150% year-over-year. Finally, net debt as of March 31 of 2025, amounted to $132 million, keeping almost constant vis-a-vis December of 2024, showcasing a net debt ratio to adjusted EBITDA of about 0.5 times. Now let's move to the most recent regulatory updates and news. During the first quarter of 2024, spot prices had been adjusted once a month, 4% in January and February and 1.5% in March. As of the date of this conference call for April and May, we have a cumulative increase of 3.5%. Regarding our investment project currently in execution, Brigadier López keeps its status. It is on schedule, moving at a good pace. Important milestones have been accomplished with regards to water intake, electromechanical works and the installation of the heat recovery steam generator. About San Carlos, let me tell you that after solving out some issues the project is back on track. Expected COD for Brigader Lopez is the end of 2025, while for San Carlos is the end of the third quarter of 2025. As you may recall, in our last call, we commented our most recent acquisition in the mining sector. We increased our equity stake in AbraSilver from 4% to 9.9% as a result of a new share subscription agreement. Continuing with news and regulatory updates. As you may know, the Secretariat of Energy aims to deregulate the industry, and normalize the wholesale market. We discussed in our last conference call the well-known Resolution 21 issued last January and the so called Lineamientos CAMMESA. As a result of Resolution 21, we see some interesting and possible opportunities in the management of alternative fuels as well as with natural gas, though more marginal in this later case, given the existence of the Plan Gas. We have been strongly working on this, and of course we will continue doing so. With respect to the Lineamientos CAMMESA, and the potential new regulatory framework, the Secretariat of Energy continues working on this subject. We also anticipated in our last presentation the storage auction. On April 22, CAMMESA issued a note amending some terms and conditions, including the submission and awarding dates. As we mentioned previously, we are carefully analyzing this project, since we are interested in participating in this process. The last concluding remark concerning the industry, the hydro tender process. By means of presidential decree number 263, a new extension for the process was set 15 days. As we publicly commented in several opportunities, we will carefully analyze the terms and conditions of this process, since we are interested in operating hydro assets. Moving now to Central Puerto's corporate news and updates, let me summarize some recent corporate organizations. On January 1, the merger of Vientos La Genoveva II, and Manque Los Olivos and CPR Energy Solutions being Vientos La Genoveva II, the absorbing company. Then on March 31, the Board of Directors approved an organization subject to approval by a shareholders meeting and the Argentine Securities and Exchange Commission whereby Central Puerto will absorb CPR Renovables assets and liabilities and also Central Puerto will spin-off part of its assets to be absorbed by Ecogas Inversiones. Finally, on March 31, the Board of Directors of Empresas Verdes Argentina, Forestal Argentina, Estancia Celina and Las Misiones] approved a corporate organization whereby, subject to approval, by the shareholders meetings of the involved companies, EVASA will absorb the asset and liabilities of all of the above mentioned companies. Now let's skip to the Argentine electricity market picture for this quarter that, will be shown on Slide 8 and 9. By the end of the first quarter of 2025, the country's installed capacity reached 43,554 megawatts, which means a decrease of 1% or 319 megawatts, compared to the 43,873 megawatts recorded as of March 31 of 2024. The variation results from the installation of new power facilities, a reduction in installed capacity and adjustment and repowering, to power plants already in operations. The contraction of 319 megawatts is decomposed as follows: a reduction of 1,195 megawatts in hydraulic sources, a reduction of 224 megawatts in thermal sources being all partially offset by the addition of 637 megawatts of wind farms. Of these, 23 megawatts were installed during the first quarter of 2025. Then the addition of 423 megawatts of solar plants were 205 megawatts, were installed during the first quarter of 2025, the addition of 37 megawatts of biomass facilities all during the first quarter of 2025, and the addition of 4 megawatts of biogas power plants. It is worth to highlight that the decline of 1,195 megawatts in hydro installed capacity, is basically explained by our assessment of Yacyretá power availability between Argentina and Paraguay. Since August of 2024, 50% of Yacyretá's installed capacity is allocated to Argentina, whereas it used to be approximately 88% before then. Electricity generation shrank 1% during the quarter on a year-over-year basis. The contraction was driven by nuclear and hydro generation. Nuclear generation decreased basically by the two-year maintenance shutdown of Atucha I, which started in November of 2024. Hydro generation shrank due to a combination of factors. First, the aforementioned change in the allocation of Yacyretá's install capacity and energy generation upon Paraguay's claim, and a reduction of river flows. Renewable and thermal generation rose 10% and 9% respectively. The growth in thermal generation led to a rise of 9% in natural gas consumption, alternative fuels consumption was significantly lower. Focusing now on the demand. As you can see, electricity demand rose 1% during the first three months of 2025, vis-a-vis at the same period of 2024. There was a slight contraction in residential consumption that was totally offset by commercial and major demand. Big industrial user consumption rose during the whole quarter, reflecting stronger economic activity levels. This was especially remarkable for mining, trade and services, automotive and food and beverage. Finally, the electricity trade balance resulted in a net import situation during the whole quarter with the peak in February. We now go to Slide 10 to our key operating indicators for the quarter. We can see that electricity generated by Central Puerto rose 4% to 5,731 gigawatt hour, compared to 5,520 gigawatt hour during the first quarter of 2024. Hydro energy generation from Piedra del Aguila dropped 2%, reaching 793 gigawatt hour from 807 gigawatt hour in the first quarter of 2024. This decline was primarily due to a reduction in river flows, 27% in the Collón Curá River and 25% in the Limay River. This resulting in lower availability of water for generation. Wind generation rose 3%, reaching 373 gigawatt hour during the first quarter of 2025, compared to 358 gigawatt hour during the same period of 2024. This increment was mainly due to higher generation from Achiras La Castellana I and La Castellana II wind farms, as a consequence of better operation performance. We should recall that during the same period of 2024, these facilities were either out of service, or we reduce operation because of some maintenance works and failures. On the other hand, solar energy generation reached 78 gigawatt hour, during the first quarter of 2025, compared to 82 gigawatt hour in the same period of 2024. Basically as a result of some restriction in the node of injection and also weather conditions. Finally, thermal generation increased 5% during the three months of 2025, compared to the same period of previous year, reaching 4,487 gigawatt hour from 4,272 gigawatt hour. The growth was mainly due to higher dispatch costs some steam turbines in Puerto and Costanera sites, and some steam and gas turbines in Luján de Cuyo as well as higher generation register in the combined cycle of Santa Fe. To a lesser extent, higher availability was recorded in the Buenos Aires combined cycle, and higher dispatch was registered, for the Mitsubishi combined cycle, both located in the Costanera site. Now let's move to our revenues breakdown. As you can see on Slide 11, this amounted to $196 million in the quarter as, compared to $150 million in the same period of 2024. The variation in revenues is a consequence mainly of a $36 million increase in spot market revenues, driven by a cash effect on the gap between currency devaluation, and spot remuneration increases. Higher thermal generation, mainly in some turbines located in Luján de Cuyo, Peurto and Costanera sites, and a non-cash effect on the gap between currency devaluation and inflation. Also a $5 million increase in sales under contract, driven by higher energy sales of San Lorenzo cogeneration plant, and higher wind generation of Achiras La Castellana I and II. Finally, it was also important a non-cash effect on the gap between currency devaluation and inflation. On Slide 12, we can see the dynamic of our adjusted EBITDA. During the first quarter of 2025, the group's adjusted EBITDA amounted to $90 million, rising 8% or $6 million, when compared to the first quarter of 2024. When analyzing the adjusted EBITDA, we can observe that the variation is mainly explained, by the previously stated higher aggregate sales driven by spot sales, and sales under contract, a $27 million increase in cost of sales, explained basically by higher maintenance expenses and consumption of materials, due to higher dispatch, higher operating costs, mostly related to the real appreciation of the Argentine peso and a non-cash effect on the gap between currency devaluation and inflation. SG&A rose $5 million, mainly by the real appreciation of the Argentine peso. Similar to production costs, SG&A were also negatively impacted by a non-cash effect on the gap between currency devaluation and inflation. Finally, there was a negative impact of $8 million in other operating results, net basically as a consequence of lower interest from clients due to lower CAMMESA delays and negative non-cash effect on the gap between currency devaluation and inflation. Moving to the next slide, the consolidated net income. During the first quarter of 2025, Central Puerto's net income amounted to a gain of $80 million. This is basically the result of the previously explained adjusted EBITDA dynamic, and the net financial results, which were driven by lower foreign exchange differences on financial liabilities, lower interest on loans, higher share of the profit of associates, higher holding results on financial assets. These effects were partially offset by a non-cash effect driven by lower FX difference due to lower FX variation, lower variation in biological assets and results driven by the change in the purchasing power of the currency. Lastly on Slide 14, we have the cash flow dynamic during the first three months of 2025. Net cash provided by operating activities was $44 million. This cash flow arises mainly from $106 million of net income for the period before income tax, properly adjusted to reconcile with net cash flows, $4 million in collection of interest from clients, and $3 million in insurance recovery. These cash flows were partially offset by $18 million in working capital variations and $1 million in income tax and other taxes payments. Then the net cash used by investing activities was $60 million. This amount is mainly explained by $44 million in acquisitions of property, plant and equipment and inventory, and $27 million in acquisition of other financial assets, being all partially offset by $11 million in dividends collections. Finally, we have the net cash provided by financing activities that was $6 million. This is basically the result of $8 million in long-term debt repayments, $6 million in interest and other long-term debt costs paid been, or partially offset by $20 million in banks and investment accounts overdraft received net. Consequently, our cash position as of March 31, 2025, amounted to $6 million. If financial assets are included our total current liquidity amounts to $250 million. With this, I conclude the presentation. Now we invite you to ask any questions to our team. Thank you very much for your attention.
Operator: Thank you very much for the presentation. [Operator Instructions] Our first question comes from Martin Arancet with Balanz Capital.
Martin Arancet: Well, thank you for the presentation. As always, I have three questions. I would like to run them one-by-one, if that's okay. My first question is regarding the possible hydro auction that is coming soon. I don't know if did Secretary here or CAMMESA disclosed the possible pricing conditions? Or if you have any guesses on pricing? Because on one hand, we understand that the government wants to be - as free as possible in terms of a free market. But at the same time, hydro, low pricing is what is keeping - is pushing down tariffs for regulated consumers. So I think that there is a trade-off there that I don't know how the government is going to tackle that. And also regarding the same subject, we have seen other companies interested in participating in the auction. I don't know if you expect a lot of competition? Thanks.
Fernando Bonnet: Okay. This is the first one. Thank you, Martin for your interest and your questions. Yes. As you mentioned, in terms of pricing, we don't have a confirmation about the pricing yet, because it's not - the auction is being delayed, or the process - process is being delayed, the government want to agree some scheme with the two provinces that - where the hydros are places, and the process is being delayed a few days. I don't know when they are planning to be made public, the conditions of the auction. But, as you mentioned, we hear the same points that you see, which is if they increase the price - the actual price of the remuneration, of course, it will impact on the tariff at the end. And on the other hand, they want to go to a free market sooner or later. So, the thing that we hear about is, they are planning to establish a pricing similar more, or less that we have right now. But in a transition scheme in, which we can sell some portion of the generation to a private - in the private contracts. Starting with the 5% of the generation of the hydros. And then going to, I think, 5% each - or 10% additionally each two years, and then reach 50% and so on. So they are thinking in that mix, between a fixed price similar or in the - perhaps a little bit higher than we have right now. But then a transition to a private contract scheme, increasing percentage every two years, to reach perhaps 100% of the 10 years after. So that is the idea that they are thinking on, but it's not public yet. So it's only things that we hear.
Martin Arancet: Okay. And just as a follow-up on that. I probably a point to be careful there is the time of the guarantees, right? I don't know if have you been talking about possible guarantees that this 5% is going to increase gradually, and that is going to be respected, or something like that?
Fernando Bonnet: Yes. We don't talk about that guarantees. They are thinking to establish that - in the auction, but they will not - they are not talking about any additional guarantee. That is something that we need to consider at the moment of setting prices.
Martin Arancet: Yes, sure. Sorry, just the last point. Regarding competition, I don't know if you are seeing a lot of interest in the auction?
Fernando Bonnet: For sure, the hydros are very efficient equipment. Also, they have - you need to have some experience to operate it. So I think the people with experience, the ones that have the concession, or even kind of know the hydros being operating here, of course, will be possible competition. We hear for another generator big generators in Argentina that they're going to see it. For now, we are not here any external, or foreign companies, but depending on the conditions. As the one point that you mentioned is guarantees, well our international companies need some perhaps additional guarantees or certainties. But for sure, the local - the big locals, we're going to see the auction and perhaps have some interest in participating, yes.
Martin Arancet: Okay. Thank you. Then my second question, sorry if you already mentioned this, but I was wondering if you could give us some additional color on why, did we see lower availability in Brigadier López in the first quarter. If you expect this to continue this year, or it should be solved, or if it's something related to the construction of the close cycle?
Fernando Bonnet: No, no, no. It was not related to the construction. The Brigadier López have a big maintenance we want to - the gas turbine be ready for the combined cycle, and we made a big maintenance there. So we have - I don't remember exactly the date, but more than about 40 days in maintenance, and we have that done. So we don't expect additional perhaps an availability from Brigadier López, and we expect that enter in a combined cycle at the end of the year, with full dispatch and full speed. So we don't see additional maintenance coming in the next years for Brigadier López.
Martin Arancet: Okay. Thanks. And my last question then regarding the utilization of the market. I was wondering what - do you think or what is your point of view regarding the schedule, if you think that it is possible to have this fully implemented by year-end? Or if you think that is probably too optimistic and since it's a big change, I think that while it could have some - it could present some issues at the time of implementation?
Fernando Bonnet: We think that they're going to move forward in the stages, like not everything at the same time. So we are - as Alejandro mentioned, we are seeing some deregulation in terms of fuel, especially in liquid fuels that we can acquire, and we can buy, buy by ourselves and CAMMESA is like giving a space there for us. In terms of natural gas, which is the main fuel that we use. We need to wait and for the full liberalization there. We need to wait until the ending of the Plan Gas, because CAMMESA with the Plan Gas contracts until 2028, are the main buyers. So there is a small room for us to buy, when they have that contract and they require a reduction in that price, to buy if we want to buy, and you only have a spot volumes, so it's not easy for us to start moving forward there. So if you don't have a liberalization of the natural gas, it's difficult to deregulate all the - legacy market. If we cannot buy the gas, it's very difficult to sign a contract for the legacy equipment. But on the other hand, they are willing to move forward, as I mentioned, in liquid fuels, gives us space for perhaps a new capacity that we can sign contracts directly with the demand. We are seeing some additional moving forward - some signals to moving forward to contract with the distribution companies in all related to this new auction of - batteries that they're willing to set contracts between generators and distribution companies. So that is a good sign to move forward, but we are not seeing perhaps a completely turnover in the free market at once. We are seeing some improvements and some deregulation, perhaps schemes, but not in one shot.
Martin Arancet: Okay. Very clear. Well, I have one additional question, but I don't want to catch all your attention. So I will wait until the end of the call if anyone else wants to make a question.
Fernando Bonnet: Okay.
Martin Arancet: Thanks.
Operator: [Operator Instructions].
Fernando Bonnet: Okay. If there is no more question, Martin, you can answer your last one.
Martin Arancet: Sorry yes. Thank you. Just last one question. Regarding your projects, I mean, you are moving forward with Brigadier López, San Carlos. And I understand that you have intention to participate, well, if we have a new formal auction, the battery auction and also the hydro auction. But I guess that all of them are somehow uncertain. We are now the pricing yet and the conditions. And if you're going to get awarded on everything. So I was wondering if you are targeting possibly other projects beyond those probably this year.
Fernando Bonnet: As you mentioned, we are - the one that you mentioned are the most important one for us. So that are the most important. But also, we are developing some wind farm in the -- in Bahía Blanca city, perhaps the starting of the construction of that project is the end of the year, or perhaps the beginning of the next one. But for this year, we - the ones that you mentioned are the bigger ones. We're also looking for opportunities in solar and wind, but nothing certainly yet. So the ones that you mentioned are the bigger ones, yes, the most relevant.
Martin Arancet: Okay, that's all. Thank you very much.
Fernando Bonnet: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fernando Bonnet for any closing remarks.
Fernando Bonnet: Thank you to everyone for your interest in Central Puerto. We encourage you to call us for any information that you may need. Have a great day.
Operator: Central Puerto's conference call is now closed.